Operator: Good morning, and welcome to the General Motors Company First Quarter 2025 Earnings Conference Call. During the opening remarks, all participants will be in a listen only mode. After the opening remarks, we will conduct a question and answer session. We are asking analysts to limit their questions to one and a brief follow-up. [Operator Instructions]. As a reminder, this conference call is being recorded Thursday, May 1, 2025. I would now like to turn the conference over to Ashish Kohli, GM's Vice President of Investor Relations.
Ashish Kohli: Thanks, Julie, and good morning, everyone. We appreciate you joining us as we review GM's financial results for the first quarter of 2025. Our conference call materials were issued this morning and are available on GM's Investor Relations website. We are also broadcasting this call via webcast. Joining us today are Mary Barra, GM's Chair and CEO and Paul Jacobson, GM's Executive Vice President and CFO, Susan Sheffield, President and CEO of GM Financial, who has taken over from Dan Berce after his recent retirement, will also be joining us for the Q&A portion of the call. On today's call, management will make forward-looking statements about our expectations. These statements are subject to risks and uncertainties that could cause our actual results to differ materially. These risks and uncertainties include the factors identified in our filings with the SEC. Please review the Safe Harbor statement on the first page of our presentation as the content of our call will be governed by this language. And with that, it's my pleasure to turn the call over to Mary.
Mary Barra: Well, thanks, Ashish, and good morning, everyone. I want to thank you for joining today's call, which was, as you all know, originally scheduled for Tuesday. We've had continual discussions with the President and his team since before the inauguration and had a good understanding of the President's plans heading into this week. But we felt it was important to hold this call after official actions were taken so we could have a more productive discussion with all of you. We're grateful to President Trump for his support of the US auto industry. The administration invested the time to understand what it takes to be successful in this capital intensive and highly competitive global industry, how we can work together to strengthen and grow American manufacturing and the importance of companies like GM to communities across the country. Almost 1 million people in the US depend on GM for their livelihood, including our employees, suppliers and dealers. We have a network of 50 US manufacturing plants and part facilities in 19 states, which includes 11 vehicle assembly plants. And we've invested $60 billion here over the last five years. Our business is growing and we'll continue to grow our investment in this country as we move forward. With the policy clarity we now have, we are updating our full year EBIT adjusted guidance to a range of $10 billion to $12.5 billion including a current tariff exposure of $4 billion to $5 billion. Paul will address this more from detailed perspective in a few minutes. We look forward to maintaining our strong dialogue with the administration on trade and other policies as they continue to evolve. As you know, there are ongoing discussions with key trade partners that may also have an impact. We will continue to be nimble and disciplined and keep you updated as we know more. Over the last several years, we have been preparing for shifts in global trade policy by strengthening our US manufacturing capability and supply chains. Since 2019, we have increased our direct purchases in the US for North American production by 27% and the content in our US assembled vehicles is more than 80% USMCA compliant. In addition, we have reduced our direct material spend in China for US production to less than 3%. And we have grown to become the largest battery cell manufacturer in the US through our joint venture plants in Ohio and Tennessee. As tariff policy came into focus, we increased full size pickup production at our Fort Wayne truck plant, which was already running three shifts by approximately 50,000 units on an annualized basis. And we are developing plans to further increase US vehicle production. GM teams are also working directly with our suppliers to further increase their US content and drive even higher levels of USMCA compliance. And we are increasing production of US assembled battery modules, a low cost way to increase US content. Alongside these actions, we are scrutinizing our discretionary spending everywhere and we are taking steps to ensure that we stay aligned with a strong consumer demand for our ICE vehicles and the evolving regulatory environment around vehicle emissions. Some of these steps include extending production of the Cadillac XT5 at the Spring Hill assembly plant in Tennessee through the end of 2026. We're also focused on growing our EV business responsibly. We have some of the best and most successful EVs on the market today, including the Chevrolet Equinox EV and the Cadillac Lyriq. To protect our brands, we have moderated EV production to ensure that we stay aligned with the consumer demand to avoid the heavy discounts our competitors offer. This will reduce our scale driven profitability improvement, but we need to follow the consumer. We're also focusing our EV investments on greater efficiency and cost reductions across the value chain instead of further portfolio expansion. We've announced an agreement to sell our share of the Ultium Cells plant in Lansing to LG Energy Solution, which will result in us recouping our capital investment. In addition, we'll continue to execute our plan to develop US sources for battery cell and electric motor inputs like lithium, rare earth metals, permanent magnets and cathode active material. Many of our supply chain initiatives are coming online later this year or early next year. In 2027, we expect our joint venture with Lithium Americas to open Phase 1 of the Thacker Pass project in Nevada and we are contracted for 100% of that offtake. GM's business is fundamentally strong as we adapt to the new trade policy environment. Great execution is driving sales and market share growth with consistently lower incentives, lower inventory and solid margins. And I'm very proud of our employees, our dealers and our suppliers for their hard work. In Q1, we gained almost two full points of market share year-over-year in the US, which outpaced every other major automaker. In addition, our first quarter share of the US EV market was 10% and rose to 12% in March, solidifying our position as the number two EV seller. And our Q1 margin in North America was 8.8%, well within our 8% to 10% range target range despite the addition of cruise expenses. Our momentum is broad based. Chevrolet became the fastest growing EV brand. Cadillac gained ICE and EV market share both year-over-year and sequentially from Q4. And our redesigned ICE SUVs including the Chevrolet Equinox, Traverse and Tahoe are hits because customers love their design, performance and value. Importantly, they are more profitable than the prior generation, thanks to our focus on capital efficiency, complexity reduction and manufacturing efficiencies. In addition, sales of our redesigned Chevrolet Suburban and GMC Yukon were up more than 30% and the Cadillac Escalade had its best ever first quarter, thanks to a combination of new gas powered model and the all-electric IQ. In their review of the Escalade IQ, Motor Trend said it may be the best luxury machine Cadillac has ever built, which speaks volumes about design, performance, technology and everything we're delivering in that vehicle. The success of these products also supports the 2025 Super Cruise growth targets that we outlined in January, which include doubling the number of Super Cruise equipped vehicles on the road. And we're off to a good start. In the first quarter, we expanded our Super Cruise equipped fleet by more than 100% year-over-year or about 230,000 units. Tariffs had a relatively small impact in Q1 and there were other headwinds and one-time factors that impacted the results, which we will discuss. They included some cost pressures and lower full size pickup wholesales because of planned downtime for plant upgrades. Behind the scenes, our supply chain team worked with speed and agility during the quarter to overcome the effects of a fire at a supplier factory that could have severely impacted production of full size pickups and SUVs. As things played out, we were able to quickly move some of the production and recover and repair tools from the damaged site, limiting the impact to about 7,000 units in the quarter. All of these units are expected to be recovered in the second quarter. The team in China also deserves recognition for delivering positive equity income while restructuring the business. They are launching very competitive new products and growing sales volume and market share. For example, all new Buick will be launching in China starting in the second half of this year and they will be new energy vehicles and the premium models will be marketed under the Electra sub brand. Buick will also lead the development of a sophisticated ADAS smart cockpit and chassis designs across our Chinese vehicle portfolio. As I said, we started the year strong after growing revenues 9% and delivering record results in 2024 because the fundamentals of our business remain strong. We managed everything under our control and we continue to thoughtfully plan for the future. This includes developing our next generation software defined vehicle platform, which will be simpler, but have even more capability. It includes adding new features and products developed by our software and services team. We will also continue to grow and enhance the capabilities of Super Cruise, the industry's best L2 driver assistance technology. We will also develop L3 and even more advanced automated autonomous technologies in collaboration with the team from Cruise. Leveraging the economies of scale we have made, have made us the OEM producer of lithium ion cells in the US and we're introducing new battery chemistries and form factors that will deliver the EV range and performance our customers have come to expect from GM with even lower pack costs and improved profitability. And finally, we're continuing to deploy AI solutions across the business. This includes exciting collaboration with NVIDIA on next generation vehicles, factories and robots using AI, simulation and accelerated computing. You'll hear more about these profit driven value creating initiatives throughout the year. So now I'd like to turn the call over to Paul.
Paul Jacobson: Thank you, Mary. I appreciate you all joining us this morning. Our robust vehicle portfolio combined with our continued disciplined market strategy has once again delivered solid financial results. Our Q1 US sales growth outpaced every other major automaker. US deliveries were up 17% year-over-year and our market share grew to 17.2% marking a nearly two point improvement from the prior year, all while maintaining incentives around 300 basis points below the industry average. We ended the quarter with ICE US dealer inventory of 49 days, down from 53 days at the end of Q4. Inventory is turning quickly and nearly 90% of the inventory at quarter end was comprised of model year 2025. As we all know, we are witnessing a significant shift in policy into the new administration and we are encouraged by the President's recent actions to strengthen the auto industry. As Mary outlined, we have already implemented several no regret strategies to mitigate some of the impact with additional measures being evaluated. Adapting to this dynamic environment will take some time, but we remain confident in our ability to respond effectively and offset at least 30% of our exposure. We believe our product portfolio and continued strong demand for our vehicles positions us ahead of the competition during this period of transition. So let me begin by summarizing our Q1 results. Total company revenue for the quarter was $44 billion up 2% year-over-year with wholesales also up 2%. We achieved $3.5 billion in EBIT adjusted, 7.9% EBIT adjusted margins and $2.7 billion or $2.78 in EPS diluted adjusted. Our EBIT adjusted was down slightly from last year's Q1 performance. So let me walk you through some of the key items on the bridge. Pricing was up around $900 million year-over-year, demonstrating our ongoing disciplined market strategy as well as continued strong demand for our products, like the new midsize SUV family, the Chevrolet Traverse, GMC Acadia and Buick Enclave, as well as our compact SUVs, the Chevy Equinox and GMC Terrain. Let's turn to volume and mix. Wholesale volumes of light duty full size trucks declined year-over-year largely due to a few weeks of scheduled downtime at our full size truck plants for upgrades along with the effects of the supplier fire that Mary mentioned earlier. However, this was more than offset by the Chevy Trax and Buick Envista delivering exceptional year-over-year growth propelling us to a leading position in the US small SUV segment. In EVs, we achieved over 90% year-over-year growth securing the number two position in the US. Model likes the Equinox EV are gaining meaningful traction with mainstream customers. Meanwhile, Cadillac continues its momentum with EVs now accounting for 20% of its US sales. FX was a headwind of around $300 million in the quarter, primarily attributable to weakness in the Mexican peso. Fixed costs were up $400 million year-over-year due to higher depreciation and amortization, ongoing warranty pressure and higher labor costs partially offset by the reductions at Cruise. Relative to warranty costs, we face persistent inflation challenges and are also taking voluntary measures to address the 6.2 liter L87 engine supplier quality issues in some models year 2021 to 2024 vehicles. The good news is that dealers have already begun applying the remedy to vehicles in their possession. It's the right thing to do for our customers. Despite around $500 million of incremental expenses for the L87 in the second quarter, we expect warranty to still be a slight year-over-year tailwind in 2025. We are focused on maintaining our cost discipline. Comparisons become easier as the year progresses, and we expect fixed costs including cruise, but excluding depreciation and amortization to be roughly flat year-over-year in 2025. Now let's move to North America. Notwithstanding higher wholesales quarter over quarter, US dealer inventories were down in part due to a meaningful step up in the SAAR throughout the quarter. The industry undoubtedly benefited from some pull ahead demand from customers purchasing vehicles ahead of potential tariff impacts, particularly in March. But the strong demand has continued into April, where we've seen US deliveries up around 20% versus last year. Q1 margin was 8.8%, well within our 8% to 10% target range despite the additions of the expenses that were formerly at Cruise. With respect to our international business, GM International EBIT adjusted excluding China equity income was breakeven in a seasonally low quarter influenced in part by this year's timing of holidays in The Middle East. China equity income reached nearly $50 million. The team in China, including our JV partner, have made significant strides in reducing inventory and costs while also focusing on enhancing the competitiveness of our products. Their efforts are yielding results as evidenced by a third consecutive quarter of sequential market share growth. Notably sales of our new energy vehicles increased 53% year-over-year. GM Financial also performed well with Q1 EBT adjusted of almost $700 million in line with last year. Higher provision expense from increased loan origination volume was partially offset by higher net financing revenue and leased vehicle income. GM Financial continues its proven track record of profitability and consistent capital return to GM with another $350 million dividend paid during the quarter. Now let me spend a few minutes on tariffs. Beginning in early April, a 25% vehicle import tariff was imposed. For vehicles that are USMCA compliant, which all of our North American produced vehicles are, the US content is not subject to the tariff once necessary administrative processes are implemented in the coming weeks. Since the election, our manufacturing and supply chain teams have been focused on developing strategies to help mitigate the impact of potential tariffs. These strategies are now actively being put into action. Mary mentioned a few of these examples in her remarks. We'll take additional mitigation measures, including cost reduction targets where it makes sense to do so. We're reviewing the cost initiatives that were implemented during COVID, but we want to ensure that we don't cut too deep. The environment is very different today than COVID as demand remains quite strong. They've also announced tariffs on imported parts. While we source parts globally, our guiding principle is to buy where we build. The US is GM's primary location for sourcing parts supply for US assembly, comprising well over half of its annual parts expenditure. Steel and aluminum are largely sourced local to production. We have a proven track record of working collaboratively with our suppliers to navigate industry challenges and we anticipate that this occasion as we work to increase US sourcing further will be no different. By working together, guided by transparency and trust, we are carefully evaluating the actions we can take with our suppliers to help mitigate the impact on their business. One of Tuesday's presidential actions will provide a tariff offset based on the more than 1.5 million vehicles we build in the US each year. This will help mitigate a substantial portion of tariffs on parts going into those vehicles and help avoid added costs on US vehicle production. This offset program supplements, but does not replace continued preferential treatment for USMCA compliant parts. The other action will ensure that tariffs on parts don't stack on top of each other. We believe both of these are smart policies that help encourage companies to do more in the US while also ensuring satisfactory return on invested capital. Now let's move to our 2025 guidance. Based on Q1 results, our underlying business trends remain strong and would have kept us on track with the initial guidance that was given on the Q4 earnings call with better pricing offsetting warranty and FX headwinds. Post clarity from the presidential actions of Tuesday, we are expecting a $4 billion to $5 billion impact from tariffs. This includes about $2 billion coming from vehicles we import from Korea as well as tariffs on vehicle imports from Mexico and Canada in addition to indirect material imports. Based on the current commercial environment, our updated guidance assumes we can offset at least 30% of this headwind via self-help initiatives. This results in EBIT adjusted in the $10 billion to $12.5 billion range, EPS diluted adjusted in the $8.25 to $10 per share range and adjusted automotive free cash flow in the $7.5 billion to $10 billion range. Pricing was strong in the first quarter as well as during in the month of April. We now expect pricing to be relatively consistent for the remainder of the year. As a result, we expect North American pricing to be up 0.5% to 1% year-over-year versus our prior guidance of being down 1% to 1.5%. On the EV side, we have a strong portfolio and saw significant year-over-year growth in both volume and US shared in the first quarter. We maintained our number two position in the US market, notwithstanding the US EV industry moderation from the fourth quarter last year to the first quarter this year. Going forward, we will continue to remain disciplined and manage EV production in line with demand. Inventory levels for EVs remained reasonable at 78 days at quarter end and our EV incentives continue to be well below the industry average. We are continuing our momentum on EV profitability improvement. In the first quarter, nearly 50% of our entries were variable profit positive. The portfolio was near breakeven on variable profit, primarily due to a mix of production during the quarter. Going forward, we expect to continue to make progress on our EBIT improvement journey, but the actual year-over-year improvement is going to depend on total volumes and tariffs. With cruise operations now included in North America, we are continuing to target at least $500 million in year-over-year savings versus in 2025 versus 2024. We anticipate commodities to be relatively flat year-over-year, while rates for steel and aluminum have increased recently, these are somewhat mitigated by our limited exposure to index pricing. For GM International, we expect a tailwind from restructuring the China business and are continuing to target profitable equity income for the full year. GM International outside of China should be similar to what was delivered in 2024. We expect higher profitability in the second half driven by seasonality and some new launches. For GM Financial, we continue to expect EBT adjusted in the $2.5 billion to $3 billion range, and we also continue to expect capital expenditures in the range of $10 billion to $11 billion including battery JV investments. Finally, I'd like to turn allocation. Let me start by reiterating that there is no change to our capital allocation policy. We continue to balance investing in our business, maintaining a strong balance sheet and returning capital to our shareholders. Investing in our business to optimize long term profitable growth remains our top priority. Our balance sheet is strong. On April 1, we paid off $500 million of senior notes, which leaves another $1.25 billion maturing later this year. We will assess refinancing opportunities or debt extinguishment as we progress through the year. We have also entered into an agreement with Ultium Cells to provide a $1.8 billion 5-year term loan that will facilitate a full voluntary prepayment of all remaining amounts under the US Department of Energy's advanced technology vehicles manufacturing loan program. We are grateful for the support of everyone at the local, state, and federal level who helped make these plans possible. Going forward, the JV's simplified capital structure will allow it to grow and evolve with even greater flexibility. Back in February, we announced a $2 billion accelerated share repurchase or ASR, retiring 33 million shares immediately. The total number of shares ultimately repurchased under the ASR program will be determined upon final settlement, which is expected to conclude this quarter. We ended the first quarter with a diluted share count of 983 million shares, down 15% compared to the end of the first quarter last year. GM has $4.3 billion of capacity remaining under share repurchase authorization, but we are temporarily pausing additional repurchases until we have more certainty with respect to our operating environment. In closing, I want to express my sincere gratitude to every member of the GM team for delivering another great quarter. Although the current environment poses challenges, we will navigate this evolving landscape with the same agility and resilience that have defined our successful responses to past industry disruptions. Thank you, and we'll now move to the Q&A portion of the call.
Operator: Thank you. Our first question comes from Itay Michaeli with TD Cowen. Your line is open.
Itay Michaeli: Just had one tariff question and one follow-up. On tariffs, with this week's relief on parts tariffs, is there scope for the industry to also receive similar relief on the imported vehicle tariffs? And to that, how should we think about the plan and for full mitigation of tariffs and maybe how long it would take roughly?
Paul Jacobson: As we said in the comments, the environment remains fluid, we're hopeful that the administration is going to continue to work on trade agreements across the world, and we'll continue to assess that going forward. As far as offsets, I think we've said it'll take a little bit of time to implement, particularly any manufacturing or supply chain moves. And I think that was evident in what the President did with a kind of two year rolling relief here with the offsets. And we're going to work actively to try to find the optimal way to do that across the board. We've really looked at addressing the tariffs or offset mitigation in three buckets. One is go to market. When you look at where the environment is right now, we feel good about where pricing is versus where we started the year. And that's been evidenced by what you saw in the first quarter as well as what continued into April. So we've assumed pricing remains constant from here. We do expect the SAAR to come down a little bit off of the peaks that we're seeing right now, but still in line with our full year target that we started with about 16 million units for the rest of the year. The second bucket is cost, reductions. As we've talked about, we've pulled out the COVID playbook. It'll take some time to roll those things in. We don't want to panic. We don't want to overcut, because it is a very different environment than COVID, and, we want to make sure that we're investing in our great product portfolio. And then lastly is the footprint responses and, supply chain responses, etc. That's what's going to take a little bit of time. So, as we continue to go through, we'll provide more detail on our progress on each of those.
Itay Michaeli: That's very helpful, Paul. And a quick follow-up and a big picture question. With all these disruptions we've seen in new vehicle production in the last four years, how does that shape your pace of investments in AV and AI to capture more of that installed base revenue? Maybe to that if you could provide an update on the timing of the next gen software defined vehicle platform and maybe some of L3 offerings you're working with the Cruise team?
Mary Barra: When you look at the timing, we have successfully integrated the Cruise team into working with the GM team and it's going quite well. We're going to talk more about what the timeline is for the software defined vehicle as well as continuing to make improvements and getting to L3 from an AV technology perspective. What we're committed to do in the meantime is to keep adding features to Super Cruise. Hopefully, everybody saw that it was just stated as the best driver assistance technology by Motor Trend. And we're going to continue to add features, like we have towing right now. No one else in the industry has towing with their L2. So we can go to L2, or L2 plus and then on the way to L3. So we'll share more about the actual timing for it later this year. But I would just say on the software defined vehicle, there's already been tremendous progress made in our software development process and more importantly, our software validation process. It has led to simplicity and less variations of the software that is allowing us to dramatically improve the quality and improve the speed of putting additional services and things that our customers will value. So that's all on the way to the whole next generation of SDV. So again, more to follow on that later in the year. And then your first the first part of your question. was?
Itay Michaeli: Just at the pace of AV AI investment, it sounds like you're accelerating those in light of all the disruptions we've seen in last few years.
Mary Barra: Well, we're going to continue to invest because we think autonomy is so important, again, improving L3 all the way to L4. And that's why we did the change that we announced last year with Cruise because we really want to focus on personal autonomy. And that's going to be, I think, very important and a differentiator from a technology perspective as we go forward. From an artificial intelligence perspective, we announced the partnership we had with NVIDIA. We have many other partnerships going on because we think we can leverage AI to make our business much more efficient and faster. And so those are continuing. We just hired a new head of AI who's working across each area of the business and each of my directs has a goal to demonstrate how they're leveraging AI to either improve the way we do business or the cost of how we do business. So very active on that front.
Operator: Our next question comes from Joe Spak with UBS. Your line is open.
Joe Spak: Just wondered if we could sort of get a little bit more details on some of the guidance. So the guidance was lowered by $3.5 billion seems like you're saying about a $4.5 billion tariff impact. I'm assuming that's a gross number, but includes the reimbursement mechanism, but if you could confirm that. And then the 30% mitigation you said is from self-help, does that include the pricing or not? Because the pricing assumption looks to be like plus $3 billion versus the prior guide. So if that's the case, I'm just wondering what maybe some of the other offsets are. It doesn't sound like volume is that much of a change. I don't know if there's anything in warranty or I know you sort of changed some of the language on EV improvement as well. So maybe you could just help us with some of those factors.
Paul Jacobson: So first of all, on the tariff calculation, it really is a straight $4 billion to $5 billion which is the expected tariff after the actions, including the offset mechanism that the president signed with reduced by 30%, which is our self-help initiatives that I described earlier. So that was the metric that that we did and, kind of rounded it off into the 10 to 12.5 range. That was the genesis of how we calculate it. As pricing goes, you know, I want to be clear, we haven't assumed any increases in pricing. So the pricing that we've seen year to date, the current environment of where we sit, has been somewhat offset by continued warranty pressure and some other FX challenges that we've seen. But when you net all that together, I think we feel good about where the pricing environment is today. We're obviously going to continue to watch it. But we're not banking on any additional pricing beyond what we've already seen in the market.
Joe Spak: Okay, perfect. And that's a good segue to the second question, which is I know you're assuming pricing holds. I guess it is obviously, I think, a change versus what your guidance was before. But even going forward and holding it at this level, you've over the past couple of years, I think, been very disciplined on pricing and not chasing volume. I'm wondering how you just think about potential pricing actions going forward, especially given what maybe some competitors might do. So is there greater risk that there's pricing actions because there's obviously sort of different cost structures in the industry versus what was even a couple of months ago?
Paul Jacobson: Well, Joe, a lot to unpack there. What I would say is over the past few years, we have seen a lot of pricing actions by our competitors, whether it be inventory driven or campaign driven. It's been clear that our competitors have generally carried much higher inventory than we have. And despite the fact that we've operated very independently with our own pricing, our own go to market approach, we've continued to get share in the industry and we've done it the right way. We've expanded margins. We've reduced incentives. We're not buying share. It's coming to us because of our vehicle portfolio. So we've seen other actions by competitors including discounting. That might continue. But at the end of the day, our strategy has worked really, really well for us. And it's that disciplined approach that I think has led to our outperformance relative to others.
Operator: Our next question comes from Emmanuel Rosner with Wolfe Research.
Emmanuel Rosner: Just to make sure I understand the tariff offsets, can you just give us a little bit more color on what is going into that 30% plus offset from self-help? Is it truly sort of like that discipline on pricing? Is it cost? What sort of cost are you able to take out quickly so that you would still get all that benefit within 2025? So I guess broadly what goes into those tariff offsets for this year?
Mary Barra: And as Paul said, it is self-help. It's one, taking steps like we did to add volume to Fort Wayne to build 50,000 more full size trucks on an annualized basis. That's already in place. It's building more battery modules in this country. We already built all the sales in this country, but battery modules. That's more content in the United States that improves the tariff position. It's and there's things like that that we're going to continue to look and do. Then it's working with our supply base to make sure they're USMCA compliant, first off, but then to look for opportunities with our suppliers where we can leverage capacity in this country that they have to build more from a US perspective. And then as Paul said, the third is discipline within the company. You know, as we face a challenge like this, we delivered the message even as we ended last year and reinforced it earlier in the week that we need everybody to show great discretion on discretionary spending. And that message is resonating. So we're going to be effective. We're going to, as Paul said, continue to invest in our great product portfolio, both ICE and EV. Our investments in EV will be primarily focused on improving our cost structure. So there's a lot of things that we can do to build on what is already a very strong greater than 80% USMCA compliant and the lion's share of that is US Content. We're going to continue on what we've been doing from a battery raw materials and supply chain resiliency. And as I mentioned in my remarks, those steps that we took and started a couple of years ago are going to pay off this year and into next year and then into even '27 from a lithium perspective. So it's just fundamentally having a resilient supply chain. And as Paul said, from a supply perspective, it's buy where we build. So it's working on improving US content and it's being very cost focused.
Emmanuel Rosner: Yeah, thanks for the color. And then as we look beyond this year, can you confirm this $4 billion to $5 billion impact, this is essentially what you're getting from Robux [ph], call it nine months of the year. So you would have potentially something larger sort of like as move forward and therefore need potentially larger offsets. And in this context, can you talk to us of what you would be considering in terms of larger offsets? I'm particularly curious if there's room to reduce fixed costs within your EV spend? Obviously, this administration is relaxing the rules. The Congress seems to be potentially going after even California's ability to have its own waiver. And so does that enable you potentially to take some fixed costs out on the powertrain side and on the EV investment?
Mary Barra: Well, Emmanuel, you raised a really good point. And we are monitoring carefully what's happened from an emissions regulatory perspective. But right now, nothing's changed. And so we need to make sure that we're compliant until whatever actions are taken from a reconciliation process or what actions are taken by the EPA and NHTSA. We are evaluating our spend. And as I already mentioned, we're going to focus on how do we make our EVs more cost effective. We reaffirmed our capital being in that 10% to 11% range. And so we're going to work within that as we deploy smart capital that's going to generate the right return that may be increasing what we do in the US, continuing to invest in our strong internal combustion engine portfolio and improving the efficiency of our EVs. But we're going to work within our dollar amount. So you could make the conclusion as we deploy some capital from an investment in the US perspective that's going to have to come from somewhere. But we think we can do what we have planned to do with all three of those components within the guidance we already gave. And so that's what we're focused on doing. But making bigger, broader decisions, it's not really smart to do that until we really know what the regulatory environment's going to be. Because as you well know, the cost of noncompliance that varies across the different agencies is pretty significant. So we're going work on compliance until the regime changes.
Emmanuel Rosner: Thanks so much. And then Paul, can you just confirm on the $4 billion to $5 billion, is that net or gross of this 30% litigation? And am I correct in understanding that on a full year basis, this would larger?
Paul Jacobson: The $4 billion to $5 billion is our estimated impact after the President's actions for 2025. It does not include the 30% offsets that we talked about. And lastly, we're not giving any color on 2026. There are lots of things that are going to change between now and 2026, and we'll provide more detail as the environment continues to evolve.
Operator: Our next question comes from Dan Levy with Barclays. Your line is open.
Dan Levy: I wanted to double click on volume, maybe you could just unpack the views on SAAR of what you said you still think can be $16 million. And then maybe you can address just from a volume perspective, just under half of the vehicles you sell in the US are assembled outside of the US, how do you manage those, specifically the affordable products and those that are coming from Korea?
Paul Jacobson: Our assumption on SAAR for the rest of the year is essentially reverting back to our business plan. We've obviously enjoyed a nice tailwind with March being just above 18, April approaching 18, from the early numbers here. We’re recognizing that there's a lot of activity there, and, we're obviously watching the macro environment, carefully as well. No reason to believe that we won't see it, kind of go back to what we were expecting for the year. But if it continues to run higher, I think we'll enjoy that. And I think we'll be positioned to do that with where our inventory sits today. But we're not banking on it. So we want to make sure that we're approaching the rest of the year as we thought, adjusted for the pricing environment that we've seen in the first quarter.
Mary Barra: Yes. And as it relates to the footprint and the fact that we do have vehicles coming from outside, we do build a significant amount of vehicles here. And I think we also get fixated on where final assembly is versus all the powertrain plants that we have here, the stamping plants. The fact that we've invested in two battery plants, and that's what allows us to have such high USMCA compliant parts, some of those being our parts that we put into the vehicles and from an assembly perspective. But as we look at the broader portfolio, as you know, there's trade discussions going on with very important trading partners. We're going to monitor how those situation goes. We have excess capacity in the US with the plants that we already have. And so that allows us if we want to make adjustments, we can do it faster than a Greenfield. And we can leverage the assets that we already have. And that gives us speed and it makes it at lower cost. So there's a lot of levers that we can pull. You've seen us do one already with the full size truck. We'll be announcing more as we go forward. I'm not sharing any more specific details today. But we'll adjust and our commitment to our investors and our owners is that we're going to be smart in the way we deploy capital to respond to a different and a changing environment.
Dan Levy: As a follow-up and maybe just touching on that, Mary, I see that the CapEx outlook is unchanged. And I think many of us have interpreted the policy changes as a way to drive sort of increased final assembly in the country, which would then require you to move a fair amount of your footprint. So maybe you can just address, A, why the near term CapEx outlook is unchanged or you're just waiting for more certainty on policy? And B, if you are to start moving final assembly to the US, how should we think about the timing of those moves? What's easier, what's harder and what the cost is?
Paul Jacobson: We've been pretty clear about how we're looking at capital, and, you know, we've determined $10 billion to $11 billion is the right amount to spend. Obviously, things happen that change priorities, and we have to meet and respond to that. So, I think we're going to continue to do that, and I think we'll endeavor to keep it in that range across the board. And, you're right in your observation that every decision on production and capacity is an independent one. They all have different variables, and we we've got to work through that. But we will prioritize and optimize based on what gives us the biggest return going forward and what's the right timing based on our product cycles and where we are in production, etc, to be able to make those calls. And we'll manage capital responsibly.
Mary Barra: Yes. And just to add what Paul said, agree 100%. We already have run. We were running many different scenarios that started last year. And so we have several things that are underway. We're just not going to announce them today because there's more work to do as we balance all of that. But again, we're going to be responsible with our capital.
Operator: Our next question comes from Mike Ward with Citi Research. Your line is open. Thanks very much.
Mike Ward: We've certainly beaten the negative aspects of the tariff situation all over the media and everywhere else. And I'm just wondering what would be the best case scenario for you if something came out? Like, if USMCA is renegotiated a year early, what impact does that have on you?
Mary Barra: Well, it's hard to say not knowing what will be done, and we have no control over when USMCA is renegotiated. But what I can tell you is when it was renegotiated during President Trump's first term, again, the administration worked to really understand our industry. And as they increased the requirements from a USMCA or from NAFTA to USMCA, we work quickly and complied with that. And I think a lot of the things that we've already done with the high level of US Content and the work as I already mentioned that we’ve done to get our supply chain to be more resilient and be more buy where we build, I think we're going to be well situated. But we're going to continue to drive that up. I'm sure we'll have a voice into the negotiations when they happen. And so we'll manage it just like we did last time and very proud of the fact that all of our vehicles built in North America are USMCA compliant and the parts that we put into our vehicles in the US are more than 80% USMCA compliant.
Mike Ward: The second thing is, one of the areas that's been surprisingly on the positive side over the last four or five years has been cash generation at General Motors. What are some of the things you've done that have stepped up your ability to generate cash? And I know you pulled forward the share repurchases in the first quarter, but what would it take to basically put that back on from a market standpoint?
Paul Jacobson: I'm actually incredibly proud of the team on cash generation. I think number one, it starts with the vehicle portfolio. When you look at the quality and the demand that we've had for our vehicles over the last few years as we've refreshed that fleet, it really is a strong anchor for great financial performance. I think we've done a lot in terms of our go to market strategy, approaching it with more discipline in production, inventory management as well as making sure that we were pricing our products appropriately and not necessarily over indexing into incentives. And I think the entire commercial team deserves a lot of credit for that in terms of really improving the margin performance and underlying operating cash flow of the business. Then when you combine that with I know we've been criticized in the past for capital expenditures. But if you look at our capital expenditures today, they're roughly approximate to where they were in 2017, 2018 after adjusting for the inflationary pressures that we've seen over the last few years. I think that disciplined CapEx on top of the really strong operating performance from the vehicle portfolio is really the secret, and we've got to continue to harness that. As far as the share repurchase, the banks, the counterparties that were in the ASR that we did in February are still in the market, and that transaction will settle. And it gives us a little bit of time to evaluate the macro environment and kind of where we were, and where we sit. What I would say is that, the actions taken by the president this week do a lot to sort of resolve the uncertainty of the tariff environment, And we're making good progress in terms of figuring out where we sit. I think the guidance that we put out today is evidence of that.
Operator: Our next question comes from Adam Jonas with Morgan Stanley. Your line is open.
Adam Jonas: A question on Super Cruise. You mentioned in the deck you increased the population by 230,000 units year-on-year. So can you confirm how many are on the road right now collecting data in total? And curious, anything you wanted to highlight there in terms of rate of change on Super Cruise? It seems like the Waymo Toyota collaboration on autonomous solutions and data collection is frankly in part of validation of your thesis and approach. And I have a follow-up question. Thanks.
Mary Barra: You're correct in that we added the 230,000 units. Let us see if we can quickly get what that takes the total volume up to. But as we said, we're committed to doubling that this year and we're on track because we had 100% year-over-year from a Super Cruise perspective. And yes, appreciate your comments. Again, personal autonomy, we think, is so important as we move forward. And that's why it was so important to get the team really focused on what it takes to lead from a personal autonomy perspective. So the team is doing that. We have many new members of the team. And now when that were on the GM side. And now when you combine them with the Cruise team, I'm very excited about the progress. In fact, I'm going to be out there next week to do a deep dive in that review. And they're telling me by the calendar year end, we'll have over 700,000 vehicles that are Super Cruise equipped. One of my regrets there, Adam, is that during the semiconductor shortage, we had a choice of build without Super Cruise or not build. So we're catching up quickly from that right now. So that's why you see the growth this year. But we're committed to autonomy and continuing to improve with what we can do year-by-year. And again, we'll hear more about that later in this year. But the team is working really well.
Adam Jonas: When I got my Tahoe, which I absolutely adore, unfortunately, a Super Cruise is not available at that time. I like my Tesla, but for the record, I love my Tahoe. A follow-up question.
Mary Barra: We have Super Cruise equipped Tahoes right now. So happy to introduce you to a dealer who could sell one to you if you'd like.
Adam Jonas: We'll get talking to them. How did the tariff changes and coupled with the advancements in AI and robotics impact GM's approach to automation? Many of your global competitors such as Tesla, BYD, Xiaomi, Huawei, even Hyundai, Kia, etc., they're looking at things like humanoid robotics. As you work with NVIDIA and following the hiring of Barack Trotsky, your new head of AI, is GM exploring humanoids in terms of either labor substitution or even making these robots and developing them given your expertise in complex supply chain and scale manufacturing at quality or any other form factors or comments on automation you'd like to share?
Mary Barra: I think we're looking at efficiency and great efficiency all the way to the plant floor starts with smart design of the vehicles and then how you design the vehicles and how they can be put together very efficiently and good for the workforce. We've focused a lot already and had tremendous expertise within the company of using automation robots, cobots to really focus on the difficult to do jobs of putting a vehicle together. And when they're difficult to do, you generally then get quality issues and you cause ergonomic issues. So we are going to continue on smart design starting with the way the vehicles are built all the way through to the factory floor. We do have extensive knowledge and work going on and several partnerships as we look at what is the latest technology to make sure we're efficient and we compete and protect our workforce from a safety perspective. So the answer is yes on all of those fronts. But I did really want to reinforce it starts with designing the product well so it's easy to build. And therefore then you can leverage automation where it makes the most sense.
Operator: Our next question comes from Daniel Roska with Bernstein. Your line is open.
Daniel Roska: Thanks for taking the question. May I invite you to take a longer term view? With tariffs in place, the cost curve for parts is now higher and the demand for parts out of the US and USMCA compliant will be higher too. In your mind, as you're preparing for your next round of supplier discussions, what would prevent suppliers from raising prices on US and USMCA parts to capture some incremental margin here as long as the tariffs are in place?
Mary Barra: Well, Daniel, we have worked hard over the last decade to have a very positive relationship with our suppliers and not make it transactional of sharing the pie of who gets more of the pie versus how do we take cost out, drive more efficiency, leverage the good ideas that they have and incorporate that into our vehicles faster. So frankly, I would be disappointed if suppliers especially with USMCA compliant, they're going to try to leverage this as a margin expansion. And frankly, I don't think our suppliers will. We work regularly. There is going to be some pressure on our supply base. But again, as we approach it, we always look for how do we together look at making the business more efficient. Less than a month ago, we had our Supplier of the Year where we had our top suppliers together. We had conversations and breakouts about how do we work on this together. So that's the way we're going to focus on this not only this year but into the indefinite future.
Daniel Roska: And so maybe as a follow-up, is there a risk that there may be suppliers in your network who are not able to completely document the USMCA compliance in the upcoming months? And kind of do you expect the parts cost to be a little bit higher in the initial phase as suppliers kind of document the USMCA compliance and you then get to exclude those parts?
Mary Barra: Well, we're working to help them do that because it's in both of our best interests. Again, we have supplier challenges day in and day out every year. We actually have a special team. We work with the suppliers that are struggling. And we're going to be very thoughtful about how we do that and continue to leverage the goodwill we have with suppliers that we earned during COVID, during the semiconductor shortage and as we move forward. So I'm not going to comment on is there going to be zero. But again, we're going to be very thoughtful and first look to see how do we offset and how do we work together to make it more efficient. We've been actually doing some great work with the supply base of really encouraging and getting them involved earlier in our vehicle design so we can take advantage of their best ideas. And that's where you really get the savings versus if you're talking about looking at it at the end, you're not driving the efficiency that you need to have. We're very much bringing them further left in our development process so we can both win together. And when we have great vehicles that sell well in the marketplace like you're seeing right now, that's best for our suppliers too.
Operator: Our last question comes from John Murphy with Bank of America. Your line is open.
John Murphy: I just wanted to ask maybe a positive question on tariffs, Mary. As you think about your product cadence going forward and the products you're going after, I'm just curious if there's been any significant changes. Because as we look at this, the German Lux brands are widely disadvantaged and so are really the Korean sort of in the mid-level of the market. So it seems like there may be a real opportunity for Cadillac and Chevrolet to really kind of lean into this and not just maybe take price, but really take market share.
Mary Barra: I think you bring up a very good point. We do build, what is it, over 1.5 million units in this country. And some of our most important where we lead in market share and we're growing share already with the newly redesigned full size SUVs that are built in Texas, we saw a 30% growth in the Escalade as well with both the Escalade and the Escalade IQ built in Texas and Michigan. So there is huge opportunity for us to continue to build and leverage our product strength and the fact that these vehicles are built in the US and have the USMCA compliant. In fact, what we've just seen is the best April since 2007. So I think there is upside opportunity for General Motors in both ICE and EV. And believe me, we're going to leverage every single opportunity.
John Murphy: And then maybe if I could sneak one last one in on the tariff side on the sort of from the other side of the equation is, I mean, you guys are operating incredibly well in a very tough environment. $10 billion to $12.5 billion on EBIT should be commended. You put a floor of $8 a share out there. You're raising the dividends. You're moving some manufacturing back to the US. From the administration's perspective, as they look at this, you're a success story. You're certainly not a company in trouble by any stretch of the imagination. You're succeeding in a tough environment. As you're talking to them and working on maybe some further relief from tariffs, what kind of leverage or angle are you using with them? Because the reality is, given the current state of affairs, you're still doing fairly well. So I'm just curious, as you have these discussions and maybe hope for relief or push for relief, how do you kind of position yourselves in that discussion?
Mary Barra: Well, I think one is we're committed to the United States. As I said in my opening remarks, we have more employees in this country than anyone else. We provide over 45,000 and growing good paying jobs from a represented perspective that really the industry created the middle class and will continue to do that. So I think that when we look at everything that's going on, and I think you brought a lot of really good points, we want to be in a position where we're 100% goal aligned with the President is to have a strong US auto industry. And so we have made points of what it takes for us to do that and grow share and then have a level playing field so we can grow from an export perspective. So what we're going to do is continue to leverage the strong product portfolio that we have, we've made the point we need to have generate enough that we can reinvest in the business to continue to have strong product programs. And so we're just going to continue to keep executing. We have never approached this situation because we understood from the early discussions I had directly with the President that he had a very strong goal to strengthen manufacturing in this country. We want to be a part of it. So we haven't thought of this as a chaotic environment. We've looked at it as, okay, we complied with USMCA when it was done in its first term. We were able to make that point and show that strongly that's what we're doing. We talked about the opportunities that make good business sense for us to make some changes to our footprint based on the new environment. So I'd say the conversation has been very productive. And I do want to thank the President and the administration for taking the time, investing their time to understand our industry so we can accomplish our share goals of growing the US auto industry which will be good for America in the long term. And lastly, I'll just say, when you think about our industry, it's not only important from an economic security perspective, it's important from a national security perspective. And we've had those conversations as well.
Operator: Thank you. I would now like to turn the call over to Mary Barra for her closing comments.
Mary Barra: Well, I really appreciate first of all everybody's flexibility. As again, I want to reiterate, we changed this call because we really wanted to provide the best guidance that we could. And we had a good sense that after the actions taken by the administration were announced, we would be able to share with you our guidance for the year, which is exactly what we did. We're going to continue to work to strengthen our business. I think you've got a leadership team that is committed to being agile and flexible, focusing on what's important in this industry, and that's having strong product. Because at the end of the day, the product is what earns you more customers, earns you more share, makes your position with the supply base very strong and continue to build on the loyalty that we have in the United States. And we look forward to continuing to grow this business we've grown for the last three years and continuing to deliver returns to our shareholders. That's what we're focused on. We will continue to be good stewards of you, our owners' capital, and we appreciate your interest today and your support. So thank you all very much.
Operator: That concludes the conference call for today. Thank you for joining.